Operator: Hello and thank you for standing by. My name is Jason and I'll be your conference operator for today. At this time, all participants are in a listen-only mode. After the prepared remarks, management will conduct a question-and-answer session, and conference participants will be given instructions at that time. As a reminder, this conference call is being recorded. At this time, I will turn the call over to Makela Taphorn, Director, Investor Relations for Artisan Partners Asset Management.
Makela Taphorn: Thank you. Welcome to the Artisan Partners Asset Management Business Update and Earnings Call. Today's call will include remarks from Eric Colson, Chairman and CEO; and C.J. Daley, CFO. Our latest results and investor presentation are available on the Investor Relations section of our website. Following these remarks, we will open the line for questions.
Eric Colson: Thank you, Makela, and thank you, everyone, for joining the call or reading the transcript. I will start on slide one. The same slide I always start with. We constantly remind ourselves who we are, Artisan Partners is a high-value-added investment firm designed for talent to thrive in a thoughtful growth environment. We manage active strategies with increasing degrees of freedom. We play a defined role within our clients' asset allocation structure. Our purpose is to generate alpha and compound wealth over the long term. To do so, we focus relentlessly on investments and our investments-first culture. As you can see on slide two, over long time periods, our investment strategies have added significant value and compounded wealth at attractive absolute rates. 11 of our strategies have beaten their indexes by more than 300 basis points per year since inception after fees. For the trailing 12 months, 12 of our strategies beat their indexes by more than 400 basis points after fees, and seven strategies beat their benchmarks by more than 1,000 basis points after fees. High-value-added active management at Artisan work, why? Because our business is built for high value-added investments, our culture prioritizes investments, we bring together the right talent, the right environment, and the right clients. We provide each of our investment teams with the autonomy and resources to capitalize on investment ideas, themes, dislocations, and other opportunities, some of them broad, some of them narrower. We regularly add degrees of freedom to increase the instruments, tools, and methods our investment teams can use to generate alpha. And we are extremely patient, we give our teams the time to let their philosophies and processes play out, we are long-term partners. Turning to slide three, our newest strategy China Post-Venture exemplifies the ingredients we bring together. Tiffany Hsiao and Yuanyuan Ji have a wealth of talent, experience, and ambition. They also have remarkable network and a clear vision for putting capital to work in Greater China.
C.J. Daley: Thank you, Eric. Our earnings release includes both GAAP and adjusted financial results. My comments today will focus primarily on adjusted results. Our strong first quarter results reflect the impact of continued strength in the global equity markets and net client cash inflows, which led to higher average assets under management in revenues. Our AUM at the end of the first quarter was $162.9 billion, up $5.1 billion or 3% compared to December 2020. Investment returns contributed meaningfully to AUM growth and net client cash inflows for the quarter were $1.4 billion representing a 4% annualized organic growth rate. 14 of our strategies had net client cash inflows during the quarter. The majority of net client cash flows were through our US intermediary channel. Over the last 12 months, AUM grew $67.7 billion or 71% due to strong investment performance, including excess returns above benchmarks and $9 billion in net client cash inflows. Average AUM for the March quarter increased 12% sequentially and 43% year-over-year. When looking at changes in AUM by generation, our AUM increased across all three generations over the quarter. Investment returns drove our growth in our first and second generation strategies and $2.4 billion of net client cash flows drove our third-generation strategies to AUM of over $30 billion, 19% of our total AUM. Turning to our financial results for the quarter. Revenues grew 11% sequentially and 43% year-over-year, principally due to higher average AUM and higher performance fees in the first quarter of 2021. Operating expenses increased $21.3 million or 14% sequentially primarily due to higher variable incentive compensation expense, which increased with revenue, $6.1 million of seasonal expenses which will taper off beginning in Q2, and $2 million of higher long-term incentive compensation expense. Variable expenses represented 62% of our total expenses in the first quarter of this year. Operating expenses increased $37.1 million or 28% year-over-year due to higher variable incentive compensation and third-party distribution expense on higher revenues as well as higher salary and benefits costs. As a result, our adjusted first quarter operating income increased $8.3 million or 7% sequentially, $50.8 million or 73% year-over-year. Our operating margin was 41.9% for the first quarter of 2021, down from 43.5% in the fourth quarter of 2020 due primarily to seasonal expenses. Our operating margin improved 690 basis points from a year ago. Adjusted net income per adjusted share grew 7% sequentially and 71% year-over-year to $1.13.
Operator: Thank you. We’ll now begin the question-and-answer session.  Our first question is from Michael Carrier from Bank of America. Please go ahead.
Michael Carrier: Great. Thanks for taking the question. Maybe just on the China and even the private market strategies. When you look at where - how you guys are positioned currently and you kind of look at that long-term opportunity, whether it's over the next 10 years or so, how much of that do you feel like you're positioned for, I mean versus how much is still in - you see R&D in terms of still developing those team, those strategies for that potential opportunity that you see?
Eric Colson: Hey, Michael, it's Eric. I think we're in the really, really early innings and there has been a lot of time spent over the years around China, and that's the reason it's become the second largest economy in the world. But the larger financial institutions have been there for quite some time. I would say the consumer-oriented asset management firms have been in place there and we finally for how we operate and the talent we see in the strategies, see an opportunity for Artisan to start entering in this space. And I would say it's early phases, both on the - a number of franchises and teams to the number of strategies, and then more importantly, as we have those strategies in place, we start leaning into a presence with a client base there. And you can play that out and go back in time and look at how we operated with our global equity strategies in emerging markets of generation too  where we built out the global strategies, we put up the performance, then we operated with vehicles, and then put a distribution presence in Europe and built out a non-US exposure over time primarily in Europe. I'd say we're - see a similar trend and mindset for the firm as we look at Asia and we look at China more specifically.
Michael Carrier: Okay. Great, and then just as a follow-up maybe two just some small items on like AUM. Just was there anything in the quarter on the separate account side that was elevated, it seems like maybe like the redemptions or outflows were a little bit higher? And then in the third generation, like the returns and other high-line item, it looks like that was negative and I don't know if there was anything again unusual just in the quarter.
Eric Colson: Yeah. I don't think there is anything unusual. There's been talk of value growth, there has been talk of US non-US rotation, a lot of that's happening in exposure-oriented strategies which would include indexes. We've seen some separate accounts, look at their equity exposure and rebalance and we've seen some institutional clients move some money into active value. But I wouldn't - it didn't jump up out at us as anything extraordinary in the quarter.
Michael Carrier: Okay, all right. Thanks a lot.
Operator: The next question is from Alex Blostein from Goldman Sachs. Please go ahead.
Alex Blostein: Hi, guys. Thanks. Thanks for the question. Just a question around capacity. Obviously, you announced the soft-closing on the credit find a week or two ago, you talked about in the call as well. Can you help us just contextualize how much of the flows over the last 12 to 24 months has come from existing clients versus new clients in that business as we're going to try to think about the ultimate impact on the organic growth from self-closing of that product? And then just bigger picture anything else that you see on the horizon that might need to soft-close due to capacity.
Eric Colson: Yes, certainly. Alex, it Eric. The soft-close is a process, it's not a definitive point in time where you would do a hard-close and shut down all activities. So we are soft-closing our mutual funds' most new investors. The mutual fund is a daily price, daily liquidity and as we look at that vehicle, we always look at the total capacity, we look at the mix, and we look at the velocity of dollars. And with regards to the mix, we made a decision to make a soft close on the mutual fund and as we look at the overall strategy, it is open to separate account and other vehicles to encourage say a more diverse mix of clients. And with regards to your question on flows of existing or new clients is really missing the point. The primary point is the statement we made in the call around the performance. I don't think anybody was looking back and saying we're going to produce a 31% return. And it's the compounding of dollars that has a greater impact than flows. And the Credit Opportunities produced 58.5%, we saw really stellar returns in the Credit strategies and we are looking at the mix, we're looking at the degrees of freedom, and we're looking at ways to continue taking opportunities with dislocation. So it's a fairly complex positioning of the franchise and again it goes back to just our long-term view versus the short-term view. We think that the long-term value of this franchise is broadening out the client base, broadening out the number of strategies, and delivering alpha over a long period as opposed to trying to capture as much short term flow as we can, which we don't think has as high of a present value to the franchise. And that drove our thinking of saving capacity and smoothing time periods because strong results and velocity of money can do a lot of damage to a franchise that we're not willing to take. And we've done that over the years and that's who we are. So it shouldn't be any surprise on how we think and how we operate. But it - that was the primary thinking around the soft closing of High-Income.
Alex Blostein: You've been very consistent when it comes to that. Anything else that you're kind of looking at across the franchise that you feel might start to bump-up against capacity or you might have to do something similar?
Eric Colson: Right now, there's a few things we are monitoring and it is hard to predict given the performance. So if you see some strategies producing historically some good performance and more recently with the value rally, you're starting to see some other strategies catch people's attention. And when you have those results, it's very nice. It's easy to attract a lot of attention to the franchise, and hopefully, that benefits all strategies in each of these franchises. So there is a couple of that we're monitoring and it really is going to be keeping an eye on the absolute performance and how we're compounding money.
Alex Blostein: Great, all right. Thanks a lot.
Operator: The next question comes from Kenneth Lee from RBC Capital Markets. Please go ahead.
Kenneth Lee: Thanks for taking my question. And this is in regards to the recently introduced strategies including China Post-Venture fund. When you look at these recently introduced strategies, wonder if you could just share with us how you think about potential contribution to organic growth over the near term and would you expect sort of like a similar AUM ramp for these kinds of strategies as you would have seen for newly introduced strategies in the past? Thanks.
Eric Colson: Some of the strategies and teams have their own growth pattern early on pending where you're at in the cycle, pending the history of the individuals and the linkage of track records, bringing in individuals that have 7-year track records, running billions of dollars has a different early phase growth patterns and strategies that don't have a track record that you can point to that matches exactly what the team is doing today. So with regards to the China Post-Venture, where there is a track record to look at, but it's not exactly what we're doing. Likewise in the International Small Cap Value strategy, there is a history, but not a track record you can point to specifically. So I - and same with the Select Equity strategy under the Global Value team. These, we would expect a little bit slower growth versus what we've experienced in some of the other strategies that were brought on, I guess more specifically probably International Small Mid had different traits than the traits I'm speaking to into the newer strategies. So we have a slower growth mindset for those -- for some of the early strategies we have right now.
Kenneth Lee: Got you. That’s very helpful. And just one follow-up if I may. Wondering if I could just get your latest thoughts around the potential to add any new investment teams in the near term or if there is any other particular whitespace investment opportunities that you see now out in the horizon? Thanks.
Eric Colson: We have nothing new to announce. Around teams, we continue to see a pretty active dialog in the marketplace, and over the last year of the health pandemic, it really hasn't slowed our dialog and interaction with teams. In fact, we brought on new people over that period and launched new strategies. So the dialog's healthy and we think there is quite a bit of whitespace when you look at the number of asset classes that are developing. More specifically, the hybrid or crossover funds that align to what we did with the China Post-Venture, as well as some of the teams that could be based in other jurisdictions around the world. So we think there is quite a bit of whitespace for our model and the dialogue remains quite active.
Kenneth Lee: Got you. Very helpful. Thank you very much.
Operator: The next question is from Bill Katz from Citigroup. Please go ahead.
Bill Katz: Okay. Thank you very much for taking the questions. Good afternoon. Just coming back to the China opportunity. I think, Eric, in your prepared comments, you mentioned you're now at $100 million. I think that's a bit higher than what I think you disclosed in the March monthly. Where is the volume coming from and how do you sort of maybe triangulate that with your commentary that was sort of very, very early stage and long tail to sort of build this at the end of the day. And would you expect more measurable growth near term or you need a couple of years of sort of track record to start to leverage that a little bit for new growth?
Eric Colson: Yeah, Bill, it's a little higher than what we disclosed on the March 31st number and we have been saying an interesting clientele described a little bit outside of our current clientele of the institutional and some of the typical advisors that leave marketed and build relationships within the past. So we've opened up some new opportunities in the wealth channel with family offices, we've opened up some dialog in regions of the world that we were a bit surprised to hear from outside of our current footprint and hope that the mindset is still that. It's relatively new into the strategy mix of Artisan and the opportunity should grow at a slower pace than we've seen other more recent strategies, with the traits I described earlier. The unknown is the demand side of the curve, which is we brought up in the dialog of the call, which is a lot of pools of money looking at their allocation to this space whether it's China-specific or the crossover of the public, private and so we've seen a lot of interest in the makeup of the strategy and the positioning of the strategy that puts a lot of interest and optimism around the growth rate.
Bill Katz: And then just maybe a two-part if I could sneak it in. You mentioned that to protect capacity on the Credit side but then you also mentioned distress. I was wondering if you could talk a little bit about how you might differentiate the current team versus some of the more seasoned competitors out there at a bigger scale. And how would the economics of something like that work, is that a management fee plus carry type fund or any kind of granularity on that would be helpful? Thank you.
Eric Colson: Yeah, specifically in the high-income space, and we call it high income for a very specific reason so that it has the flexibility to use other instruments and to be flexible to take advantage of stress in the marketplace. And I think both the flexibility of security type and the asset - the allocation process in the portfolio has given Brya and team the degrees of freedom to produce the results versus the peers. He is also taking that skill set of looking across Credit Opportunities as well as being able to enhance security selection with Credit Opportunities and that has got us into more of the private vehicle and credit alternative space. And we want to be able to save room for enhancing those skill sets and we expect to continue into the private funds and we would expect to see more performance-based or carry interest in strategies of the future. And as we look at our Credit franchise, we see more breadth and the number of strategies in the space the Credit team would go versus just a pure high-yield strategy that tend to be very narrow and can take more dollars, but it also happens at a lower fee rate. We prefer the ability to manage capacity to deliver alpha, manage our fee rate, and be able to expand in the new strategies and aggregate. We believe the present value of that opportunity is much greater than playing into a bulge strategy in a very narrow space that have fee pressure and it ends up being a competition for scale and the lowest fee rate.
Bill Katz: All right. Thank you very much.
Operator: The next question is from Dan Fannon from Jefferies. Please go ahead.
Dan Fannon: Thanks. Just a question on I kind of the outlook for spend in normalization of activity and travel and other discretionary items as you think about this year and how maybe you're budgeting today, C.J., for the remainder of the year and what we should think about at a line item level?
C.J. Daley: Yeah, Dan. I think we've mentioned this before. We largely believe that spend will return for the most part back to normal. There will be some minimal efficiencies. I do think there will be some less travel but nothing meaningful in certain areas, but largely will be back. And I think we're going to ease into that over the year. And so I would expect we'd have some savings through the rest of this year. But as you know, this whole situation with pandemic is very dynamic and ever-changing. And so I hesitate to really try to nail down any specifics other than we do have. Savings in the P&L now, which are continuing and we would expect them to continue into next quarter and then ease back into them and whether that takes 3, 6 or 9 months remains to be seen.
Dan Fannon: Okay. And then just one more on capacity. Just given the context you gave us last quarter, when they asked about it, you mentioned a couple funds that were not in the Credit bucket, and obviously, returns have been quite solid as you've said. Just want to make sure there is nothing else, I don't know team-wise, resource-wise, other things that resulted in the shift to the soft close announced in April for that versus what was discussed or highlighted last - just a few months ago?
Eric Colson: Yeah, Dan. There is nothing we're ready to announce, but I do think there is an array of strategies that we keep a mindful eye on with regards to the mix, the velocity of flows, the performance, the opportunity set within each team's product mix. So there are some stellar results that came out of last year and there is a good number of strategies that we are looking at. So as we have active dialog with the investment teams and we discuss about -- discuss capacity and we discuss the performance outlook and how various investment opportunities play through, it's a dynamic discussion. And so we fully understand the need for where we're at on capacity, but we also are mindful that there is a lot into the equation. So yeah, certainly some strategy or two should - could come up with regards to managing that either through a soft close of a fund or how we manage the separate accounts, but there will be an active dialog and that's the history of the firm. So I would expect and continue to expect capacity management that leans towards protecting the ability to deliver alpha.
Dan Fannon: Understood. Thank you.
Operator: There are no more questions in the queue. This concludes the question-and-answer session, and the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.